Operator: Good day, everyone, and welcome to the Frontier Communications Fourth Quarter 2015 Earnings Report Call. This call is being recorded. At this time, I would like to turn the call over to Mr. Luke Szymczak. Please go ahead, sir.
Luke T. Szymczak - Vice President-Investor Relations: Thank you, Vicky, and good morning to everyone on the call. Welcome to the Frontier Communications Fourth Quarter Earnings Call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO and John Jureller, Executive Vice President and CFO. The press release, earnings presentation and supplemental financials are available on the Investor Relations section of our website, frontier.com. During this call, we will be making certain forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and SEC filings. On this call, we will discuss GAAP and non-GAAP financial measures as defined under SEC rules. Reconciliation between GAAP and non-GAAP financial measures is provided on our earnings press release. Please refer to this material during our discussion, and review the cautionary language concerning non-GAAP measures in our earnings press release. I will now turn the call over to Dan.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Good morning and thank you for joining Frontier's Fourth Quarter 2015 Earnings Call. Today, I'm going to discuss highlights of our fourth quarter, review our accomplishments in 2015, introduce our video strategy, which will be a key focus going forward, and update you on our execution plans for the acquisition of Verizon's wireline operations in California, Texas and Florida. We continued our track record of solid execution in operating our existing business in the fourth quarter and throughout the year, even while committing substantial time and resources to preparing for the California, Texas and Florida acquisition. Please turn to slide three. The fourth quarter represented our 12th consecutive quarter of strong broadband net additions with net additions of 28,500. This extends our continuing trend of very strong progress in broadband with cumulative net additions totaling nearly 350,000 since the beginning of 2012. Our progress continues to be broadbased across our footprint. In the fourth quarter, we once again increased our residential broadband penetration in over 75% of the markets we serve. We maintained good momentum in our business segment as well. This was our eighth consecutive quarter of roughly stable sequential results in SME, excluding Connecticut. 2015 was a year of very substantial accomplishments for Frontier. We executed a smooth, successful CEO transition as well as the separation of the CEO and chairman roles. This will culminate on April1 in the appointment of an independent non-executive chairman, Pam Reeve, moving us to the governance structure preferred by many shareholders. In the second and third quarters, we raised all the equity and debt funding required to close the California, Texas and Florida transaction. We completed the regulatory approval process with the final step being the receipt of the California PUC approval in December. We also are nearly complete with our integration activities and are looking forward to closing in less than 40 days. In 2015, we completed the integration of our Connecticut property. This included stabilizing the residential customer base after a number of customers migrated to new pricing early in the year. We have invested heavily and continue to improve the network in Connecticut and are focused on introducing higher speeds and video availability to more communities in the state. Finally, we have transitioned to a normalized rhythm of acquisition pricing and market-based video pricing, which will improve ARPC and margins over time. Last year, we fulfilled our commitments under the FCC's CAF-I program and embarked upon the CAF-II program in order to improve our broadband availability to unserved households. John will address this further, but let me say that our plan is to connect or upgrade over 100,000 households utilizing CAF-II funding this year. We also continue to improve broadband capabilities elsewhere within our footprint. For example, in Connecticut and other markets, we are in the process of introducing speeds in excess of 100 megabits over copper, fed by our fiber-to-the-node infrastructure. We have been investing to transform our operating support systems, our customer self-service capabilities and our provisioning platforms. We believe these investments will position us well to lower operating expenses from our existing business as we deploy these enhancements and customers begin to adopt the new functionality. In reviewing 2015, there are areas we have identified where we can do better in the future. We have efforts underway to improve our performance. One significant ongoing pressure we have in our business is the decline of voice, particularly in residential. In fact, this was the reason our customer revenue is slightly short of our expectations in the fourth quarter. While this secular headwind will continue, the relative impact on total revenue will decline. We estimate our residential voice revenue run rate will be approaching 15% of revenue pro forma for California, Texas and Florida acquisition. In Connecticut, we began to experience the benefit of the expiration of promotions introduced in the fall of 2014. The benefit was limited in Q4 as the expirations occurred only partway through the period. We anticipate a more significant benefit in the first and second quarters. And as we migrate this cohort of customers off promotional pricing, we haven't experienced a resulting significant increase in churn. Please turn to slide four. As you know, we are in the process of reshaping our business to offer customers enhancements to the broadband products that have become such important parts of their lives. Additional broadband market share growth remains a key initiative for the company. Currently, our percentage of residential broadband penetration is only in the mid-20%s. Approximately 50% of broadband activity in Q4 was above the basic speed tier, up from nearly 40% in Q4 2014. We have an opportunity to drive this higher, encouraging a more rapid shift to the higher-speed capabilities offered by our network. And as we open new markets with the CAF-II funds, we will introduce broadband to areas that have been waiting for this product. Another key strategic initiative for Frontier is the introduction of video service in a number of our existing markets with a minimal capital outlay. This will leverage our fiber-to-the-node architecture and has become a viable opportunity due to advances in technology regarding video compression and server architecture. This represents an exciting revenue opportunity for Frontier that takes advantage of our increasing scale and the substantial investments that we've already made in our broadband network. We will be growing a new stream of revenue from our existing investments in the network while leveraging our enhanced operational support and billing support systems and our IPTV delivery platform. We believe that offering video service opens the door to attracting new customers to our broadband service while introducing new tools to improve retaining existing customers. We began this process as we introduced our video service in Durham, North Carolina, first on a trial basis in the fourth quarter and now commercially. Our plans are to introduce video service to more than 40 markets representing approximately three million households over a three- to four-year period. Once complete, video service will be available to about 50% of the 8.5 million households in Frontier's existing footprint, not counting the pending Verizon acquisition. Including California, Texas and Florida properties, we would be able to provide our video service to more than seven million households, and we anticipate additional opportunities as we upgrade select copper markets in the acquired states. This initiative is a direct result of the experience in technology we have gained from Connecticut and the pending California, Texas and Florida acquisition. This video offering will essentially be a product extension, running on our already robust network infrastructure. We will utilize existing content relationships, and we already have the rights in place to offer video across our footprint. And these rights provide us the flexibility to introduce a variety of bundles and packages that will appeal to a wide spectrum of customer preferences. This endeavor is extremely capital-efficient for two key reasons. First, we are leveraging the substantial broadband infrastructure investment we have made in our network over the last half-dozen years. And second, our IPTV applications employ the latest very advanced compression technology. Our HD television channel will require approximately 2.5 megabits of capacity, meaning a household with four HDTVs active at once will only require 10 megabits of capacity into the home, leaving the remainder available for data usage. The capabilities of the latest technology combined with our increasing scale make it extremely compelling for Frontier to undertake this initiative now. To enable 1.3 million households to receive video over our existing broadband infrastructure will require total capital spending of less than $150 million spread over several years. That means we can undertake this project within our existing capital budget and current forecast. The rate of our deployment can be varied depending on success. As a result, this is a low-risk undertaking. If the take rates aren't in line with our expectations, we can adjust our plan accordingly. In addition to the direct revenue benefits to Frontier, also consider the scale benefits. With the closing of California, Texas and Florida acquisition, we will have approximately 1.5 million video subscribers, excluding satellite. Consider how much larger our video scale could become as we proceed with this initiative and increase our penetration across the three million additional households. For all the reasons I have discussed, I hope you can see why this is such a strategically significant initiative for Frontier. And now let's discuss our California, Texas and Florida transaction. We're in the final phases of preparing for the closing of the acquisition, which is scheduled for April 1. The integration teams from both sides have been extremely diligent in planning a detailed cutover with the mutual objective of minimal customer disruption. As we have previously discussed, our plan is to maintain the existing service plans and go-to-market approach that currently exist in the Verizon markets. We have already adopted them within our systems in our existing FiOS markets. We're in the final stages of our conversion plans. The system conversions are on track, and we are seeing conversion metrics at or above our expectations for this point in the conversion process. We are executing our training plans, including a segment of the incoming work force. All indications are very positive with less than 40 days until the cutover. The entire Frontier organization is focused on having a smooth cutover and a great experience for our new customers. We are excited about the opportunities in our new markets, and as we continue to learn more about these markets and the employees who will be joining us, we believe we will be in a strong position to drive significant benefits for our customers and our stakeholders. As we have moved closer to cutover, we have developed a better insight into our cost structure. At that time, I can say with full confidence that we will be in excess of $600 million in day one cost synergies, and we are continuing to refine our day one cost structure. We will provide an update on our cost structure and initial synergy attainment on our Q1 earnings call. Deceleration of synergies supports our ability to deliver the leverage free cash flow accretion we forecasted for this transaction. In summary, I am extremely excited about the opportunities that lie ahead for Frontier. We are on the cusp of closing the long-anticipated California, Texas, and Florida acquisition to which our entire team has devoted so much time, energy and effort, and we have a compelling low-risk plan to broaden our capabilities across our legacy markets through the video initiative while leveraging the significant investments made for the Verizon integration and our IT platforms to improve our cost structure over time. We appreciate the investment community's ongoing patience and confidence as we execute this transformative acquisition, which is a significant leap forward for Frontier. I will now hand the call over to our CFO, John Jureller, who will go into more details on our financial performance.
John M. Jureller - Chief Financial Officer & Executive Vice President: Thank you, Dan. Frontier reported a loss for common share of $0.14 in the fourth quarter 2015 after dividends on our preferred stock compared to a loss for common share of $0.07 in the third quarter of 2015 and income of $0.01 per common share in the fourth quarter of 2014. Adjusting for dividends on the preferred stock, acquisition-related interest expense, acquisition and integration cost, severance cos, and certain tax items, our non-GAAP adjusted net income was $0.05 per share in the fourth quarter of 2015 compared to $0.03 per share in the third quarter of 2015 and $0.04 per share in the fourth quarter of 2014. On February 11, the board declared a common dividend of $0.105 per share for the first quarter of 2016 payable March 31 in line with the dividend rate of the four quarters of 2015. We also will be paying the regularly scheduled dividend on our preferred shares on March 31. Please turn to slide five. Fourth quarter revenue was $1.41 billion as compared to $1.42 billion in the third quarter. Total legacy revenue declined by $4 million with a decline in voice revenues partially offset by an increased in video and regulatory revenues. Revenue in Connecticut was $257 million, a sequential decline of about $7 million, primarily due to declines in voice revenue. Customer revenue of $1.21 billion was down $16 million sequentially, or negative 1.3%. We experienced a slight increase in the headwind from voice revenue relative to the expectation we had outlined for Q4 revenue. Total residential customer revenue of $594 million was down $12 million as compared to Q3. We did experience an improvement in Connecticut as we began to migrate customers off the one-year promotions that were introduced in the fourth quarter 2014. But this benefit was offset by a decline in voice revenue. We should see more of the benefit in this migration in the first quarter. Business customer revenue of $613 million was down only $4 million sequentially. Total data and Internet services revenue was stable sequentially with increases in our residential and business broadband services and carrier revenues offsetting the declines in wireless backhaul revenue. Voice revenue declined slightly more than anticipated, reflecting customer migration to different price plans. Regulatory revenue for the quarter was $206 million, up $5 million sequentially. Our regulatory revenue was reduced by approximately $4 million in the fourth quarter versus expectations because in the process of verifying the CAF-II household count provided by the FCC, we found a slightly lower number. This will reduce our CAF-II revenue by about $1 million per quarter going forward. In the fourth quarter, we recognized the full year impact of this change, which was approximately $4 million. Residential average revenue per customer, or ARPC, was $63.14 for the fourth quarter of 2015, a decline of 1.1% sequentially. Lower voice revenue, both standalone and within product bundles, was a contributing factor partially offset by improvements in data and video. Business ARPC was up 0.9% sequentially. The adjusted EBITDA margin for the fourth quarter was 42.5%, which was up 110 basis points from the third quarter level as a result of lower cash operating expenses in the fourth quarter relative to the third quarter and the increase in CAF-II revenue recognized in the period. Cash operating expenses of $813 million were slightly lower than the target range we had outlined for Q4 in November. We do anticipate an increase in operating expense in Q1, driven by seasonal factors such as the usual first quarter increase in payroll tax and some additional head count. Capital expenditures were $185 million in the fourth quarter, and we spent an additional $52 million in CapEx related to integration activities. Please turn to slide six. Frontier's cash flow remains very healthy. Our adjusted free cash flow was $243 million in the fourth quarter. Our dividend payout ratio, adjusted to exclude the incremental dividends and interest expense on the capital raise for our pending transaction with Verizon, was 43% in the fourth quarter as compared to 46% in the third quarter 2015 and 52% in the fourth quarter of 2014. We believe that the adjusted dividend payout ratio that excludes the incremental capital cost is appropriate until such time as we complete our transaction, as we don't yet have the operating cash flow associated with this capital. Please turn to slide seven. Our leverage ratio at the end of Q4 was 3.6 times. Frontier's liquidity remains robust. Excluding the restricted cash earmarked for our California, Texas and Florida acquisition, we ended the quarter with approximately $1.7 billion in cash and credit availability. Our debt maturities are well-laddered and, at the present time, we don't see a need to access the public capital markets for the next couple of years. As we move forward, it's important to reiterate Frontier's capital allocation framework: investing appropriately in our network infrastructure and operations; supporting our current dividend; and utilizing excess cash generated to reduce indebtedness and our leverage ratio. As Dan outlined earlier, within our capital spending plan, we have the flexibility to shift funds to invest in the deployment of video services and to meet the CAF-II obligations. We are comfortable with the leverage level of approximately four times that we project after the closing of the Verizon transaction. We are committed to maintaining our liquidity and reducing our leverage over time. We know that there has been substantial interest in getting an update on the results of the California, Texas, and Florida assets we are acquiring. So let me give you a snapshot on a few things. The pro forma adjusted revenues for California, Texas, and Florida were approximately $1.4 billion in Q3. Verizon has not yet finalized the full year audited financial statements of that business but has advised us that based upon preliminary information, it is anticipated that the pro forma adjusted revenues for the fourth quarter were slightly ahead of Q3. This is a directional indication, and we await final confirmation when Verizon delivers to us the 2015 audited financial statements for the California, Texas and Florida business. FiOS data connections increased by approximately 17,000 in Q3 and 18,000 in Q4. Similar to the historical trends which Verizon has reported, as anticipated, DSL data connections declined by approximately 28,000 in Q3 and 24,000 in Q4. FiOS video connections declined by about 4,000 in Q3 and Q4. These metrics are consistent with Verizon's total results and what we expected. We anticipate providing full year audited results in accordance with our reporting requirements. I will review our guidance on slide eight. Our current plan is to provide full year guidance for the combined operations in May during our Q1 earnings call following the closing of the California, Texas and Florida acquisition. We are not providing complete guidance for the full year, particularly given how our business will be changing in about six short weeks. However, there are a few things for which we can provide some direction. For Q1, we anticipate regulatory revenue to decline by about $46 million, reflecting the ongoing CAF-II revenue run rate partially offset by other items. Regarding cash operating expenses, we have already discussed our expectation that the first quarter cash operating expenses will increase sequentially from Q4. We anticipate the increase to be in the range of $20 million to $25 million. This increase primarily reflects the impact of a step-up in payroll taxes, which begins to reverse in Q2, and cost related to head count that supports our third-party Internet helpdesk revenue. Looking forward, the combined Q2 cash operating expenses will include the benefit of the day one cost synergies which, as Dan described, will be in excess of $600 million. Capital expenditures for Q1, inclusive of CAF-II spending, are anticipated to be a slight increase over Q4. We will provide the full year guidance on CapEx in May. A full year guidance item that we are providing at this time is with respect to cash income taxes. We estimate the full year cash taxes in a range of $5 million to $15 million. This includes the impact of California, Texas and Florida acquisition, reflects the incremental interest expense for the year, the substantial benefits from the asset basis step-up that is part of the Verizon transaction, and the benefit of bonus depreciation extension. Further, given the funded position of our pension plan, we estimate cash pension contributions for 2016 in the $15 million to $25 million range inclusive of the California, Texas and Florida acquisition. As a reminder, the pension liabilities for the transferring employees will be fully funded by Verizon as part of this transaction. We estimate 2016 interest expense of slightly more than $1.5 billion. This includes the cost of the term loan A that will be drawn at quarter end to fund the closing of the California, Texas and Florida acquisition, as well as interest related to the debt that we will be assuming from Verizon at the closing. Only about 10% of our debt will be floating rate debt following the closing of this transaction, so we continue to have an immaterial exposure to changes in interest rates. In summary, Frontier's Q4 2015 operating results, our preparations for the California, Texas and Florida acquisition, our prudent capital investments and expense management all provide a strong cash flow base and a solid financial platform for supporting and investing in our business. We have ample capital to invest in and enhance our competitive infrastructure, service our debt and comfortably sustain our dividend and maintain the dividend payout ratio superior to others in the telecom sector. I will pass the call back to the operator, who will open up the line for questions.
Operator: Thank you. We'll go first to Batya Levi with UBS.
Batya Levi - UBS Securities LLC: Great. Thank you. A couple of questions. First, thanks for the color on Verizon's 3Q numbers. I have to ask about EBITDA. Should we think about EBITDA in line with the revenue reduction that we saw on a sequential basis from 2Q to 3Q? Is that in that ballpark? And just color for first quarter for Frontier. You mentioned that CAF will be lower, about $46 million. Can you give a little bit of color on the core customer side? Do you still continue to expect pressure on the voice to be largely offset by customers coming off promo and data stability? And I have one more question afterwards.
John M. Jureller - Chief Financial Officer & Executive Vice President: Let me first start, Batya, on the Verizon EBITDA. We're not calling out specifically the Verizon EBITDA. But we've seen their direct expenses remain pretty much in line with what they have been historically. And recall that a good portion of their expense base, which is allocated cost, just goes away entirely on the closing of the transaction and is replaced by our cost structure. So we feel very comfortable that the direct expenses are pretty much in line with what we anticipated. But yet, as Dan called out, we're now in excess of $600 million in terms of cost reduction or synergy benefits on day one.
Daniel J. McCarthy - President, Chief Executive Officer & Director: And then just, Batya, on the color on Q1. We're experiencing similar trends to what we saw in Q4. We do anticipate that the promo migrations that will occur across the quarter will provide some additional support, especially in Connecticut. And the one thing to add probably is a little bit of a headwind in the quarter is that we're right in the middle of the training and rolling out new functionality for the integration. So it's consuming a lot of time in our contact centers. So I think you'll probably see our results on units strong but perhaps not as strong as Q4.
Batya Levi - UBS Securities LLC: Okay. Got it. One follow-up on the synergy. The day one $600 million suggest that the overall synergies could be higher as well, or are you just seeing more allocated expense on the Verizon side?
John M. Jureller - Chief Financial Officer & Executive Vice President: Yeah. At this point, Batya, we're seeing more allocated expense and we were, as I've said, we're trying to pull as much of the $700 million of synergy in as quickly as possible. We're also fine-tuning our cost structure, and we'll be able to give better guidance on the total day one as well as any increase in synergy possibilities on the Q1 call.
Batya Levi - UBS Securities LLC: Got it. Thank you.
Operator: We'll go next to Dave Barden with Bank of America Merrill Lynch.
David William Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking my questions. I guess, first question would be just with respect to the, I think, some turbulence around the early integration exercise with Frontier in Connecticut. Could you compare and contrast what we should be expecting with respect to the kind of April 1 flash cut of the Verizon properties to Frontier and get us comfortable that that this is going to go well? And I guess the second part is kind of looking past to that, presumably with the incremental cash flow generation you'll have in front of you, there seems to be an awful lot of opportunities in the capital structure looking at some of the early maturity bonds in the 20%s or some of the highly discounted bonds looking further out even some of your convertible preferreds. Is it your intention after the deal to kind of start going after the capital structure and taking advantage of some of those discounts in the market with your incremental free cash flow? Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: David, I'll take the first and then John will probably take the second part. Let me contrast the two conversions to give you and others a lot more comfort, I think, on the Verizon transaction. On Connecticut, one of the key issues was that we actually changed some of our pricing structures and go-to-market plans to be more Frontier-like in Connecticut on day one. In this instance, we've gone just the opposite. We've adopted the Verizon bundles, products, including all of the bundles that are introduced as of yesterday, into the product family. So there really is no chance that there'll be a sudden migration of customers to a different bundle structure, which had the significant ARPC impact. On the operational side, we've taken great pains and steps to stage the cutover so that we don't have as much happening that first night. In fact, the Verizon video cutover will take place over a number of days so that we minimize the potential impact, and we can back out of any step at any point. So that was probably the biggest single issue that happened on the Connecticut integration that ultimately led to some of the problems day one and in the first month or so. So combining those two, and I could go through a number of different other additional impacts, but those are the two biggest sale impacts that will be very, very different between the Verizon transaction and Connecticut. And as we execute on the Verizon, I think you'll see a very smooth transition and no impact like we saw in Connecticut.
John M. Jureller - Chief Financial Officer & Executive Vice President: Dave, with respect to the second question that you had in terms of how do we look at the debt capital structure, I think implicit in that, I just want to reinforce is our notion that we want to reduce our leverage over time and how we do that; where in the capital structure that we attack that. I think we'll look at it at that particular point in time. I think you're right to point out that a lot of our bonds are trading at discounts. There could be some interesting opportunities, but we'll refine our strategies as we get to that point in time. But again, I just want to reinforce that our intent is to reduce our leverage.
Operator: We'll go next to Gregory Williams with Cowen & Co.
Gregory Williams - Cowen & Co. LLC: Great. Thanks for taking my questions. Can you guys talk a little bit about the residential ARPC, a lot of puts and takes you mentioned with the voice bundling downwards, but then you've got the Connecticut promotion sort of anniversarying. Does that imply maybe not in this first quarter, but second quarter and the balance of the year, that we could see year-over-year increases? And as it relates to residential ARPC, I know it's a very small portion of your base, but you'll be taking on some more FiOS customers, and I assume you're taking the custom TV packages. And just trying to get a sense of the climate in this TV world. Do you anticipate or see any meaningful adoption of the cord shaving or these custom TV packages? Thanks.
John M. Jureller - Chief Financial Officer & Executive Vice President: Hey, Greg. Let me take the first part of your question with respect to residential ARPC. What we saw in the beginning of late Q3 and Q4 was the usual trends in our business. We have a product that, for example, on the voice side that we call our Stay Connected product, which allows snowbirds, for example, those in the north that may vacation or go to their winter homes in the south, to maintain their service but at a substantially reduced rate that we keep their port open for broadband. So we maintain them as customers but at a lower ARPC for those periods of time. We see that, and that happens every season, so late Q3, call it right through mid Q1. And what we'll see is that ARPC returning in the late Q1 to early Q2 timeframe. So that's a seasonal thing that we see for us, and I think some customers, too, have put themselves into different bundles just given how they're using their landline versus their mobile service. So it's not a loss of customers as compared to our expectations. It was more of a pricing migration which is, in many ways, seasonal in nature. We expect that to return back. As you rightly pointed out, we saw some increase in ARPC from the video migrations, pricing migration that Dan outlined. Recall that we had brought existing customers in at new customer acquisition pricing beginning late last year, and that was only for a one-year period. They are now coming off that pricing, and a greater cohort comes off that pricing in Q1 and then finally in Q2. So we will see lift, for example, on the video side or on our double and triple play customers in Connecticut with respect to that migration. So we see some good opportunity in residential ARPC as we transition throughout the course of this year.
Daniel J. McCarthy - President, Chief Executive Officer & Director: And as we look at the FiOS space that we're acquiring, they have been selling their skinny bundles. And there is a small segment of the base that we're inheriting that has that. It appears to us that the individuals that were taking those scaled-down bundles are really a segment, whether you call them cord shavers or just people that are looking for a unique product, that's a minority in the market. In fact, our research indicates that the propensity for customers to take the full bundle is much higher in these markets even than the national average. So as we look at it, we will have the bundles that are available for the cord shavers. It will not be our focus initially as we enter the markets and begin operating the business. We'll support all the customers that are on it today. And then as we gain more intimacy in the market, I think you'll see us target different segments with those bundles where it makes sense but still offer pretty attractive feature-rich linear video bundle.
Operator: We'll go next to Barry McCarver with Stephens, Inc.
Barry L. McCarver - Stephens, Inc.: Hey. Good morning, guys. Good quarter, and thanks for taking my questions. I guess, first off, I want to back up and talk about the video product that you're extending. Can you give us a little bit more color on how many additional markets and the pace that you expect for 2016 and then maybe a little bit about the margin profile of those video customers in new markets? And then just my second question revolves around the Verizon transaction. Great to hear that we're going to get an update on the guidance and cost synergies when you report. I'm just wondering when you actually close the acquisition, do you plan on reporting some of the subscriber numbers and households passed on that date? Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Sure, Barry. I'll take the video question to start. We see the opportunity to about 40 markets on our existing base. As I had mentioned, we opened up Durham. We're in the process of opening up two additional markets right now. We've scaled back the initiative because, really, the focus for everyone in the organization, whether you're in the engineering department, the IT department, the technology department, is really about the integration over the next 38 days or so. So once we get through that, you'll see us start to ramp, but it probably won't be till the back half of the year. But you will see that we'll have probably three markets open for sale by that point, and then we'll start accelerating. We feel very good about the margin profile. We would not sell obviously a stand-alone video product. So it's really designed to be a bundled product. But it gives us the ability to be a disruptive force in the different markets and to really change the conversation with customers and to offer them a unique product and service that integrates a great linear video experience but also social media and over-the-top that might come with different partnerships with providers.
John M. Jureller - Chief Financial Officer & Executive Vice President: Barry, with respect to the Verizon subscriber metrics, I don't think we will have those on the closing date. We will get those from Verizon shortly thereafter, and I think what we'll certainly do is with our Q1 earnings, we'll reaffirm what those metrics are, if not beforehand.
Operator: We'll go next to Brett Feldman with Goldman Sachs.
Brett Joseph Feldman - Goldman Sachs & Co.: Thanks. Just a few quick questions here. You made a note that you're not experiencing meaningful uptick in churn in Connecticut as the promos roll off, although you also noted that across your base, voice is still under a little bit of pressure. I'm curious if you're finding that those Connecticut customers, when their prices re-rate higher, sort of create their own savings by switching away from voice? And then just as a follow-up on the tax guidance, to what extent is that low number a result of the extension of bonus depreciation? And I know it's a little hard to look multiple years out, but should we expect cash taxes to remain substantially low like that into 2017 or will there be a little bit of reset higher next year? Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Brett, I think on the Connecticut customers, we really went through really two months of the transition at the end of 2015. During that time period, we didn't see a significant transition away from the voice product as part of the upsell. In fact, if you compare our pricing strategy to what the former owners were, we're actually providing, we think, a very compelling value for a customer for the two-year or three-year price lock that they've contracted with us. So we haven't seen that yet. Doesn't mean it wouldn't happen. It's a fairly sophisticated base. But our VoIP platform is well-integrated into the video experience and provides a unified messaging platform as well. So a lot of customers take advantage of that.
John M. Jureller - Chief Financial Officer & Executive Vice President: Yeah. And let me just add, Brett, too, with respect to churn, and we really look at churn across all our base, our residential churn in the fourth quarter was the best of all of our quarters in 2015. So we continue to make improvements in customer retention. Regarding your question on tax, our tax guidance really benefits from a couple of different things, but two substantial things. One was certainly the extension of bonus depreciation. But almost even more so was the asset basis step-up that we negotiated as part of this transaction. Now both the benefit of that basis step-up as well as bonus depreciation certainly continue on to 2017. We are not providing 2017 guidance at this point in time, but it's fair to say that we will see a good benefit in 2017 just as we looked at for 2016.
Operator: We'll go next to Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. Can you talk a little bit – you talked about synergy estimates. But as we think about integration costs after March 1, how are you thinking about the quantum there in terms of getting this deal put to bed and how that fades out over time? Any more color around that would be great. And then you talked about having launched video in Durham. Perhaps you could just give us a few of those early learnings in terms of take rates and what customers have liked, what it has done to churn, if you've got anything you can share at this point. Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Sure, Simon. So first off, on the cost of the integration, we had a heavy lift in the fourth quarter associated with capital, specifically around standing up a super core network around the country as well as expanding our capability for TV Everywhere and video-on-demand, which are new platforms that we'll be able to leverage across all of our video base. So I think you'll see Q1 less heavy from a CapEx perspective, more about OpEx. We do anticipate there'll be some costs post-close, but we're expecting to get those out of the business fairly quickly. So I wouldn't expect to see a long-term impact from the integration costs. And then as far as Durham goes, some of the initial learnings are that we were locked out in many cases of securing long-term contracts with some of the apartments and condominium owners in the market because we didn't have a video product other than a mini headend that was using satellite, which was not the preferred solution. So in the first several weeks of introducing the product, we've already secured new contracts that would be substantial units right out of the gate. Our door-to-door sales process has been very successful so far. But we're in the early days. It's only been really about a month or so. So I'll be able to give you more color on our success and learnings as we get into the Q1 call.
Operator: We'll go next to Frank Louthan with Raymond James.
Frank G. Louthan - Raymond James & Associates, Inc.: Great. Thank you. When you closed the AT&T deal, there were some revenue line items, I think, some deferred revenue from some installations and the way that you book bad debt versus the way AT&T did that had a little bit of a negative impact on the trends versus what T was reporting in their numbers. Is there anything like that we should be aware of on the Verizon property, and if so, could you quantify that delta?
John M. Jureller - Chief Financial Officer & Executive Vice President: Sure, Frank, and good morning. Thanks for the question. The adjusted EBITDA or the adjusted revenue numbers, for example, or the pro forma revenue numbers that you saw in our Q1 and Q2 filings for the Verizon properties, that pro forma adjusted how Verizon records their uncollectible reserve as compared to how we did. We treat it as a contra-revenue item. Verizon treats it as an expense item. So in the pro formas that we filed as part of our capital raise, you'd see that. The numbers that at a high level that I quoted you also include that adjustment. So we adjust out certainly any revenue that doesn't transfer over but where we place our uncollectible reserve, which is against revenue as compared to expense. So we try to be consistent in that perspective.
Frank G. Louthan - Raymond James & Associates, Inc.: Okay. So the reported numbers that you put in the filings are exactly the way that you're going to report them once you own those properties?
John M. Jureller - Chief Financial Officer & Executive Vice President: Yes. Look at where it has the adjusted pro forma numbers, so that pro forma column does just that.
Frank G. Louthan - Raymond James & Associates, Inc.: Got it. Okay. And as you deploy the video in the other states, can you give us an idea of the number of business locations that you may be able to pass as well and what sort of potential upside is for other commercial applications for deploying higher bandwidth in the network?
Daniel J. McCarthy - President, Chief Executive Officer & Director: Yeah. I think that's a great point, Frank. We will be, and we had plans already, to upgrade the infrastructure as far as taking speeds up in those markets. So I think the commercial and the high-end certainly benefits from that having more ROADM links and rings around the different markets. I do think that there is a significant opportunity on the small business side that is more around the traditional waiting room's hospitality that we would go after. We've seen good success on that in Connecticut with this video product, and we'll be enhancing it and developing specialized applications and products for those verticals. So I think it's good, but we've been talking about it principally on the residential side, but I think that's a knock-on effect on the commercial.
Operator: We'll go next to James Moorman with D.A. Davidson.
James G. Moorman - D.A. Davidson & Co.: Thanks. Just first a clarification on one of the things you said earlier. In terms of the new video markets, you talked about over the top. So I guess you see it more as an opportunity longer term and initially you see a lot of demand and not people kind of looking more for an over-the-top and are looking for a traditional video. And then also if you could just talk on the CAF-II markets that you're rolling out. I mean, how long can we look before we might start seeing an impact? Is it a year or two out before you start seeing maybe some revenue impact from those markets? Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: I think on the video side, what we've done for market research indicates that the markets that we're going to expand to have above-average national propensity to take the larger bundles. However, there is a segment and several subsegments that would be looking for the smaller bundles as well as an over-the-top solution. But our focus right now is on the larger bundles we'll also have. And since it's a greenfield opportunity for us, there really is no potential impact on migration or potential revenue downside to offering these scaled bundles. So we'll have the full meal deal as we go into each market. And then we'll look at whether or not we want to put together a specialized application for someone who may just want local channels and sports with an extra emphasis on over-the-top going forward.
John M. Jureller - Chief Financial Officer & Executive Vice President: Jim, on the CAF II revenue realization, I think we'll begin to see that later this year as we ramp up. We're spending a lot of time making sure that our backbone is set for what we need. But the actual customer revenue, I think, will be more of a function of later on this year.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Operator, if we could, can we take one last question, please?
Operator: We'll take our last question from Philip Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. Sorry. I wonder if you could go through your speeds by sort of tier of customers. Who's going to get this 100 megs; how widely spread will that be? And then at what speed will you be able to sell the video product into? What's the sort of minimum home speed that you could sell that? Thanks.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Yeah. The 100 meg is something that we're working with the various equipment manufacturers to do upgrades on. It's over a bonded and a subvectored product set that is very applicable in Connecticut as well as where we've put in next-generation DSLANs which, over the last five to six years, is really what we've deployed virtually everywhere as we've done our expansion. So each one of them takes different steps to move in that direction. I think you'll see us leading and testing more in Connecticut but then quickly following it in the different markets, and it'll become the standard that we offer as we go into the copper markets in the California, Texas and Florida opportunities.
John M. Jureller - Chief Financial Officer & Executive Vice President: And just in terms of the speed here into which we can sell video, I think as Dan pointed out, I think that's probably around 20 megs. And, Dan, why don't you sort of pick that up?
Daniel J. McCarthy - President, Chief Executive Officer & Director: Yeah. Well, it's 20 to 25 megs. We can vary the bandwidth available for a data product based on the HDTVs. So we don't have to lock the number of streams down as much as some other providers of the service do. So we're very flexible. We think a good video product would be about a 15-meg video product. But we'll have the opportunity, depending upon loop lengths and applications to take it up to similar to what we're doing in Connecticut, which is four HD streams with 80-plus meg of capability. So it'll just vary depending upon what the loop lengths are. But the minimum would be that 20 to 25.
John M. Jureller - Chief Financial Officer & Executive Vice President: Phil, just to add, too, we finished the fourth quarter with greater than 20-meg capability in over 57% of our footprint as well.
Daniel J. McCarthy - President, Chief Executive Officer & Director: Okay. Thank you, operator. In closing, we had very solid results this quarter, and we have made tremendous progress in planning for the acquisition of California, Texas and Florida markets. As you saw, even with the pending acquisition, we aren't standing still in our existing markets as we have had aggressive plans to expand through the introduction of video services. The entire company remains intensely focused on increasing shareholder values, and we believe we have significant opportunities ahead of us. So thank you for joining us on our call today, and we look forward to updating you again on the first quarter call.